Per Plotnikof: Hello, everyone, and welcome to this presentation of ALK's Q1 Results, and thank you all for joining us. Let's turn to Slide number 2 with an introduction to agenda and the speakers. My name is Per Plotnikof. I'm Head of Investor Relations. With me today are CEO, Peter Halling; and CFO, Claus Steensen Solje. First, we'll share a couple of highlights from the quarter, and then we'll take a closer look on European tablet sales, market trends and financials. We will also provide a strategy status before we cover the outlook. And then we will end the presentation with a customary Q&A session. And to get started, I'll hand over to Peter and Slide number 3. Please go ahead, Peter.
Peter Halling: Thank you, Per, and thank you all for joining this call. 2024 started well for ALK. Revenue in Q1 was up 10% organically, and the operating profit EBIT increased by 41% measured in local currencies. Revenue growth was driven by Europe in general and European tablet sales in particular. Total tablet sales increased 22%. And in Europe alone, it grew by 28%, as we succeeded in adding to the growth momentum that we established in the second half of 2023. Obviously, we're very pleased to see the European tablet sales continue to rebound and reinstate its position as a key growth driver to ALK. While European sales were ahead of expectations, sales outside Europe were soft due to temporary sales fluctuations and phasing of product shipments to international markets. Nevertheless, we remain confident that we'll be able to grow full year revenue in all sales regions. Consequently, the full year guidance has been updated accordingly. So we now expect full year revenue growth to be up slightly better from 9% to 12% to 10% to 13%. Moreover, we have made solid progress on our strategic agenda in the first quarter, in particular, with the efforts to extend the reach of respiratory tablets to new patient groups and local markets. Based on prudent cost management and capital allocation, we saw strong improvements in our profitability. In Q1, we reached 23% EBIT margin. And thus, we are moving towards our 25% EBIT target in 2025. I'll just add that Q1 are normally a strong quarter when we look at EBIT, and so was '24. The work to update our business strategy continues and based on the findings during the review, we have decided already now to take specific actions and initiate specific initiatives. This will support both our future top and bottom line. These initiatives are being implemented as we speak and will help us optimize ALK's business platform, enable scale and free up resources to further fund and strengthen key strategic initiatives without compromising our profitability improvements that we target. Now I will further comment on this later in the presentation. But before we get there, I'll hand it over to you, Claus, and the market trends on Slide 4.
Claus Steensen Solje: Thanks, Peter. Let's start with European tablet sales, which were up 20% in quarter one. Please remember, this is against a weak quarter last year, where we had zero percentage growth. That said, we continue to see a positive growth momentum after the decline in growth trends from late 2020 to mid-2023. Growth in Q1 was driven by higher volumes linked to a strong inflow of new patients in our main markets in Central and Northern Europe. Compared to last year, we estimate an underlying volume increase that was well above 10%, driven by new patients, particularly in the Poland segments. Please notice that there is an element -- there could be an element of pent-up demand associated with this trend in light of the relatively low number of new patient initiations last year. Looking at the underlying drivers. Then last year, we developed a number of focused sales and marketing initiatives, targeting allergy sufferers and doctors, and we have been able to activate more patients, more prescribers and more payers. For example, through the use of digital channels, we are increasing the depth with current AIT prescribers as well as starting to broaden the prescriber basis to new segments. On top, we have worked with doctors to extend the initiation season to mitigate conflicts with common respiratory infections and other epidemics. While we saw small improvements outside the main initiation season last year, we need to keep in mind that we are trying to change something that is deeply embedded in the clinical practice, so we will likely see incremental improvements over time. We are also benefiting from an accelerating market transition towards evidence-based registered products in Germany, which is the largest AIT market in Europe. Last year, a series of court rulings confirm that insurance companies and other private payers may reject reimbursement for nonregistered AIT products. This is now impacting the clinical practice. Moreover, this year, the allergist association, AADA, has put additional pressure on nonregistered AIT products by publishing a list of 18 products recommended for new patients with grass, tree and house dust mite allergies. Three of these 18 products are manufactured and marketed by ALK, three tablets and three SCIT products. Q1 growth was also positively influenced by improved pricing through inflation indexation as well as other price and rebate adjustments, including the reversal of last year's mandatory rebate increase in Germany, which positively affected European tablet growth with approximate 2.5 percentage points. Also Q1 sales were less influenced by changing trading patterns at wholesale levels than what we have seen previously. Now let's look at revenue development for our different regions. Slide 5, please. Overall sales in Europe were up 18% in Q1 based on growth in all product lines, and we consolidate ALK's position as market leader in European AIT. Tablets were the main driver of growth, but combined SCIT and SLIT-drops, sales also contributed nicely with 9% growth. Sales of other products and services, including Jext, increased 7%. Sales in North America grew 2%. Sales -- tablet sales were up 20%, mainly driven by better pricing in the U.S. and higher volumes in Canada. Sale of SCIT bulk and life science products fell short of expectations, primarily due to phasing and discontinuation of a large but low-margin customer. Revenue from international markets decreased 18%. This was caused by a delay in SCIT shipments to China and the phasing of tablet shipments to Japan. However, the in-market sales in both China and Japan remained robust, underpinning the commercial potential in both markets. Let's turn to the product categories on Slide 6. Global tablet sales grew by 22% and was mainly driven by strong growth in Europe. Growth in international market was modest 1% as higher sales in minor international markets compensated for fluctuations in shipments to Japan. In total, tablets accounted for 52% of ALK's revenue in this quarter. Global sales of SCIT and SLIT-drops declined by 1% related to delayed shipments to China and bulk sales in North America failing short of expectations. This was partly offset by growth in sales in Europe. Finally, sales of other products and services, including Jext, increased by 1%. Jext supply is normalizing as planned, and sales were up 10% in first quarter. We are progressing in restoring Jext sales, but still in the process of fully rebuilding our market position after last year's significant shortfall of supply. Now let's move on to Slide 7 and the financials. Revenue in Q1 was up 10% in local currencies to DKK1.351 billion. Exchange rates impacted growth in Danish krone negatively by 0.5 percentage point. A gross profit of DKK889 million yield a gross margin of 66%, which is an improvement of 1 percentage point. The margin benefited from higher sales, changes to product mix, production efficiencies and reversal of the German rebate increase last year. However, these factors were partly offset by inflationary pressures on input costs. Overall capacity cost increased by 1% in local currencies to DKK574 million. R&D expenses were down 18%, mirroring the completion of last year clinical trials of the respiratory tablets. Sales and marketing expenses were up 4%, reflecting high activity levels across markets. Finally, administrative cost increased 27%, driven mainly by one-off costs related to the ongoing projects. EBIT was DKK316 million, a significant improvement of 41% in local currencies and 39% in Danish krone. The EBIT margin improved from 18% to 23%, driven by the higher sales and operational leverage as well as improved gross margin and prudent cost management. Finally, free cash flow improved to DKK111 million and DKK226 million when excluding the acquisition of PRE-PEN made in the beginning of the year. Progress was mainly due to higher earnings, lower CapEx and higher payables. All in all, a decent set of results, ALK's best quarterly performance so far. I'll now hand back to you, Peter, for an update on the strategic priorities on Slide 8.
Peter Halling: Thank you, Claus. Now let me bring you up to speed on the strategic must-win battles that I outlined during the past earnings calls, starting with the respiratory tablet portfolio. So first priority is maintaining the robust growth in the tablet sales that we have regained in the past two quarters, particularly in Europe. And by doing so, we will grow revenues, improve earnings further and help more people with allergies to a better life. These efforts are on track, as evidenced by the Q1 numbers. Secondly, it's immediate and important to ensure that we succeed with the regulatory filings for children's use of tablets in Europe and North America. The regulatory processes are well underway. We still expect ACARIZAX, the house dust mite tablet, to become available for children in Europe from late 2024, and next year also in the U.S. and Canada, where approvals are pending. Likewise, we expect ITULAZAX, the tree tablet, to become available for children, adolescents in Europe and Canada in '25, subject to approvals. These approvals are important catalysts for the future growth of the Company and for bringing better treatment to children across the globe. Launch preparations continue as planned, and we are encouraged by the strong endorsements from key opinion leaders in our dialogues with the allergy community. Moreover, we are also seeing important progress in Japan, where our partner Torii has launched initiatives to further expand manufacturing capacity for the active ingredients to the Japanese cedar pollen tablet. The additional capacity is expected to come online in late '25 and will allow to reach and meet the high demand and overcome the current capacity limitations. Turning to China. The regulatory review of the house dust mite tablet is still pending. We still see a possibility and an approval of ACARIZAX for adult use later this year. We are on track with our strategic priorities. These include the food allergy program spearheaded by the peanut allergy tablet, the expansion of manufacturing capacity for tablets and the efforts to update and standardize the legacy portfolio. We are still in process of reviewing our anaphylaxis strategy. More to come on the Capital Markets Day. Finally, these measures come in addition to the previously mentioned initiatives being implemented to support our future growth ambitions. Now let's turn to Slide 9 and the upcoming strategy update. As said, we are in the process of updating ALK's business strategy. We'll be sharing the outcome at our Capital Markets Day on June 4, and we hope to see many of you out there. Our overall ambition is still to sustain high revenue growth by expanding ALK's global leadership in respiratory AIT, bolstering the long-term growth trajectory by diversifying our product portfolio into selected new therapeutic areas, such as food allergy. In short, we want to help many more people with allergies and related diseases to a better life. Careful prioritizations are key to this ambition. We will be reallocating resources to specific markets, products and projects with the highest growth potential. We will also streamline the current business platform and thereby increase scalability. And finally, we will identify ways to free up resources for strategic initiatives without compromising our '25 EBIT target. Accordingly, we have decided to implement a series of optimization and prioritization initiatives, which will include adjustments to the organization, streamlining of processes and procurement spend as well as reprioritization of projects and certain activities. These initiatives are expected to entail one-off cost of approximately DKK60 million in 2024. Moreover, they are expected to result in run rate savings of approximately DKK250 million in '25. This will allow us to invest in specific growth areas and support our earnings ambitions for '25, ambitions, which remains unchanged. The one-off costs are included in our full year guidance for '24. And as mentioned, we expect to be sharing new long-term strategic and financial aspirations in June in connection with the Capital Markets Day. With these updates, I'll hand it over to you, Claus, and the full year outlook on Slide 10.
Claus Steensen Solje: Thanks, Peter. There is no doubt that European sales exceeded expectations in Q1, and this will have a positive carryover effect into the coming quarters. On the other hand, we still see -- we still need to see growth in Jext sales fully solidify after last year's significant supply issues, and we saw U.S. sales of legacy products short of expectations. Considering these moments -- movements, we have decided to adjust the full year revenue outlook, so that we now see 10% to 13% growth, up from 9% to 12%, primarily driven by the tablets. Growth in European tablet sales is expected at a level significantly above last year. North America and international markets are also expected to deliver growth for tablets, although growth in Japan will be somewhat lower than last year due to intermediate capacity limitations at Torii. Combined SCIT and SLIT-drops sales are still projected to grow, driven by SCIT, albeit at somewhat lower pace than last year where improved pricing fuel growth in Europe. We currently see a different geographically mix in the full year sales of SCIT, meaning that Europe will now be the main driver of growth in this segment, whereas we see lower growth in North America and China. The latter linked to some upcoming renewals of our SCIT import license in China, which will impact its factory sales temporary in second half of the year. Sales of other products, including Jext, are also still expected to grow, although at a lower level than previously expected due to the recent development in the sales of other products in the U.S.A. All in all, we still expect broad-based growth across all main product groups and all sales regions. Moving to earnings. The EBIT margin is still expected to improve to 17% to 19%, fueled by revenue growth, scale benefits and lower external costs in R&D. The one-off cost to optimization initiatives that Peter mentioned are now included in the guidance. The gross margin is expected to improve, owing to the product mix, however, partly offset by inflammatory pressures on the cost base. Our capacity cost to revenue ratio is still expected to improve as we capitalize on existing platforms to enhance efficiencies, implement optimization efforts and reduce R&D spend. R&D expenses are still expected to decline to around 10% of the expected revenue versus 13% last year. Sales and marketing costs are expected to see single-digit increase, while administrative expenses are expected to decline slightly when disregarding one-off cost related to special projects this year. To sum up, we expect 2024 to mark the sixth consecutive year of revenue growth and improved earnings. With this, I hand it back to Per and Slide 11.
Per Plotnikof: Thank you, Claus, and thank you, Peter. And this concludes the main part of our presentation, and we will now move to the Q&A session. So I will kindly ask the operator to go ahead.
Operator: [Operator Instructions] And the first question comes from Martin Parkhøi with SEB.
Martin Parkhøi: Yes. Just a couple of questions. Firstly, with respect to the European capital growth, which is -- which was, of course, a positive surprise, but how can you actually maneuver in this form of environment? Because it seems like it's just -- it's not plain vanilla with the in-market sales, but there are many reasons for the 28%. It could be the baseline or [per] trade or anything that would you know. How can you model forecast for the remainder of the year with this kind of uncertainty? And what do you actually expect for European tablet growth for the remainder of the year? And then just Japan, of course, we note that there is supply constraints from Torii, and they're guiding a 10% growth this year. But at full capacity in 2026, what is actually the actual demand in the market that you think that you could see in 2016? And then just the final question for [indiscernible]. Can you talk a little bit about the DKK125 million that you next year will allocate to growth initiatives? I know you will probably talk about it at the Capital Markets Day, but can you maybe give a little -- a peak view into what kind of growth initiative markets or products we are thinking about?
Peter Halling: Absolutely. Thanks, Martin. And maybe, Claus, do you want to take the first question here on Europe?
Claus Steensen Solje: Yes. I can. And Martin, thanks for the question. And I fully understand kind of your observation on how do you actually maneuver and how do you forecast in a market like that coming out from last year's 0% growth, which was a bit of a surprise in that direction, of course, fueled by several things related to the pollen season, the trade patterns and all these kind of things. And now we are one year further. And then you see in some way the opposite effect. I think, first of all, it's important to say that when we try to model this, we see it over some years. We are seeing fluctuations between years. So if you take last year's first half year and you take this year's first half year, then I would recommend that we are all seeing at this as an average over years and maybe instead of seeing it as one year at a time because we will see some fluctuations. When that is then said, then the second thing we, of course, is looking at a lot is the volume growth, so the new patients initiations because this is basically what we can try to model on. Related to the 28%, then approximately half of that is volume, and that is what we are looking at and what we are trying to model into Q2 and Q3 and so on. The other half is then mostly related to pricing coming in. Some of this will maintain through the year. Some of this has a shorter impact. We also talked the trading pattern. You also mentioned yourself the lower base last year is also impacting. So there are many things that are actually going into this. So we are mostly looking into the volumes and the patients initiation. This is how we try to model it, but I would also recommend to see it over a sliding average over some years. Related to your second part on the full year tablet for Europe, and there's no doubt, second quarter will also look quite nice. We know that. We can see it in our Q3, Q4. New initiation growth last year where, of course, our sales was up in average 13% over the second half year. We can see those patients continue into Q1 and Q2. So that we kind of can model in. But of course, it's very difficult for us to model is how will our initiation be in Q3 and Q4 in '24. We both, of course, have a higher comparison due to the Q3, Q4 last year, which was, of course, higher. And then, of course, we need to try to figuring out what will the number of new initiations be. That is difficult for us to model. And of course, that's also why we try to do that a bit modest and at least try to say let's just not see the 28% and multiply it by four, but actually try to say we can forecast the first half year. And then there is room for uncertainties in the second half of the year. So that's a bit how we model it and how we look at it.
Peter Halling: Yes. So -- Great. And maybe, Claus, just to add. Your questions around Japan and also how we're going to spend a portion of the savings to DKK125 million. So we start with Japan. Obviously, it's a difficult answer, what's the potential. But I think the way to look at Japan is that with the capacity increase and the improvements with Torii, we will be in a position where we can really start to fully supply towards the demand in Japan. The demand in Japan, it depends a lot, obviously, around both the government and also the various doctors and the initiations there. Currently, and what has been mentioned previously, has been that there is a potential of about 1 million patients in Japan versus the approximately 250,000 today. That is, in my view, a bold statement and maybe also a little far-fetched. So my view is, basically, we are somewhere in between in terms of the potential. Now that being said, this is obviously for the current tablets in the Japanese market with house dust mites and the cedar tablets. But you also have to remember that we are launching GRAZAX in Japan together with Torii towards the end of the 20th -- here in this century, obviously. But the key there is to say Japan still have other indications that show potential. So I think there's a lot to go for in Japan, and we are obviously quite pleased with the partnership with Torii and the opportunities ahead. Then on the DKK125 million, which is half of the savings we're aiming for of the DKK250 million that we announced, the way we go about it is basically that we said we want to make sure that we support the ambition that we have put out, delivering 25% on the bottom line, but we also want to make sure that we reinvest in the business. And it's important to say this comes obviously on top of what we do otherwise. So this will help us to further fund some of the commercial activities, specific growth opportunities in specific markets. We also have a number of R&D activities that we want to fund and find money for because we believe in the potential of ALK and the Company and the opportunities we have in front of us. And thirdly, we need to make sure that the infrastructure becomes better at ALK. We cannot double the complexity as we continue to grow the business. So I'll promise you one thing, Martin. We'll be much more specific when we meet at the Capital Markets Day shortly. But at least at this state, I can tell you this much.
Operator: And the next question comes from Michael Novod with Nordea.
Michael Novod: It's Michael from Nordea. Two geographic questions as well. First, to Europe, can you talk about when you do see this momentum in sort of patient activation and doctor engagement, et cetera? Where you see the best traction across grass, tree pollens, house dust mite? Are there differences? Or are they all sort of pulling sort of the same levels? And then secondly, maybe you could just remind us of sort of your go-to-market strategy in China and how far are you in terms of being completely launch-ready when you get the go ahead? Are you fully up to speed on the sales force? Do you need more? Is that also a part of where you can say we save some in headquarter, we put more into new launch opportunities? So maybe get some more flavor on the launch and go-to-market strategy in China.
Peter Halling: Great. Thanks, Mike. Claus, do you want to start with Europe? I'll take China.
Claus Steensen Solje: Yes, I can do that. Thank you, Michael, for the question there. When we look across Europe right now, then it is especially our products around GRAZAX and ITULAZAX that are driving the growth there. So these are, of course, our two key products that are driving across different markets. There's no doubt that Germany and Nordic is once again our key growth markets. But it's also important to actually notice that a list of the other European markets, which, of course, are smaller, are also seeing very nice growth. So we are actually seeing it across many markets. But as always, I was almost saying, it is Germany and Nordic that are driving it because they're so big, and they are still having quite significant growth in those markets. But we also see it across other markets in Europe.
Peter Halling: Great. And then your question on China and how we prepare, so we are in China, as you know, and we are currently selling our SCIT product, Alutard on the Chinese market. And basically, as we are building up and getting ready for the expected approval of ACARIZAX, then we've been building the organization in China. That being said, China is a huge market, 36,000 hospitals. So obviously, a lot to go for. We are pretty clear in which tiers we want to focus. So the ones where actually located in the bigger cities where there will be more people with allergies coming, et cetera. So a clear focus in terms of how we segment. Moreover, we've also said we have an interesting product in terms of adrenaline. And there, we are looking at a potential partnership with Grandpharma that we have previously announced. So that is continuing as planned, the discussions there. So looking at China, it's big market, a lot of opportunity, but also a complex regulatory market and also a different market than what we have. So it will be a model where we use our strong local Chinese sales force that have done well so far, but also where we are looking at the right partnerships to build the different product categories.
Operator: And the next question comes from Ben Jackson with Jefferies.
Ben Jackson: Just two quick ones, if I may. Firstly, would you be able to provide us with any further color with what's driving the lowe SCIT in North America and perhaps how transient you expect it to be with regards to the rest of the year and going forward? And then perhaps also, if you could just provide a little bit more clarity about the parallel trade and the EU volume for the tablets and whether you see any kind of transient nature of that [at all]?
Peter Halling: All right. Thanks, Ben. Let me start out. I can answer the part around the U.S. SCIT business. So as we also stated, basically, what we saw was that we saw lower performance. It was partly driven by a little bit of timing between the quarters. But secondly, we also had a loss of a low-margin customer that had a fair amount of volume. This is completely natural as part of the business. It's a pretty stable market otherwise and we've been in a market where we've been able to get price increases through to help us grow. So we don't see anything major in terms of how the market is currently evolving. And that also goes for the life science business, which is a little bit of a business that is not similar to the rest of what we do here in ALK. And hence, we are in the hands of distributors, to a larger extent. And that also means that we are getting more fluctuations in that part of the business, which is also natural. So maybe a comment on the parallel trade?
Claus Steensen Solje: Yes, I can do that. Thanks for that question. Of course, we are not doing anything kind of to prevent the parallel trade. It's not in our scope to deal with that. We are seeing parallel trading in Europe like all pharma companies are. Our job is, of course, to secure that patients can get access to the products, no matter what market they are in. And then, of course, sometimes, the parallel trade can prevent that or make it a bit difficult. What we are seeing right now is changes in the trading pattern in Europe. And since we're not doing a lot to control it, then we are actually more, you can say, a result of those trading pattern. This quarter, it actually went our way, and we saw less impact on the products in the markets where we have, for example, the higher prices and are selling more right now than what we saw in the last quarter -- in the same quarter last year. So there is some fluctuations in the trading patterns and the parallel trade, and it's something we have to get used to. This quarter, it helped us, but it's not something that we can say will help us in the quarters to come.
Operator: And the next question comes from Peter Sehested with ABG.
Peter Sehested: I have two. The first one pertains to your EBIT margin guidance, which, given all the quantitative commentary on cost line items as well as the current momentum on sales, et cetera, seems a bit cautious. On the other hand, you also mentioned the inflationary pressures. Could you just elaborate a bit on what that is exactly and if that is something that is ongoing? Is this just a 2024 thing? Or is it something that we should expect to be permanent looking forward? And then I'll take my second question after that.
Peter Halling: Okay. Thanks, Peter. Claus?
Claus Steensen Solje: Yes. Let me start by the guidance we are giving on the 17% to 19% on the EBIT margin. We still believe in that, and this is still what we are seeing. But please remember that now, of course, it's including the DKK60 million in cost for the restructuring costs that we have announced and that Peter talked about earlier. So that is now included in that EBIT there. We are standing with this one also related to how we are seeing the sales and the gross margin. And we, of course, are still -- even though we have a prudent cost spending towards the '25 and '25, then, of course, we are still investing both in our commercial activities and also in our R&D activities. So we still believe 17% to 19% is the most number we are seeing. We are starting a list of initiatives related to the spending, especially we are looking at all our contracts and our procurement initiatives, for example, which will hopefully help us to gain some of those DKK250 million that Peter talked about earlier. This will help us both this year and next year, but it's not so much this year. That will only be next year, it's going to help us. So that's why we maintain the 17% to 19% for now. You also asked about the inflationary pressure. You're completely right. We are seeing that, of course, like every other companies are in the inflation environment we are in right now. We are in our manufacturing. This is mostly where, of course, we are being impacted in our input for our manufacturing production. Here, we are having many different initiatives to improve the efficiencies and thereby also improve gross margin. But we are impacted with approximately 1 percentage point from the inflationary pressure in our manufacturing setup. We believe that it will continue probably also next year. Nobody will know how to guide on inflation, but I would assume that it will probably also impact next year. But that's to the level where we are right now.
Peter Halling: And Peter, you had a second question?
Peter Sehested: Yes. I might just to stay on this one, just for a split second here. It's on the -- I mean, what exactly -- what are the components of this inflationary pressure? I'm not quite sure about that.
Claus Steensen Solje: This is the input cost for our manufacturing. This is especially to our raw materials, our glass and everything that is going into our manufacturing lines across the world. This is where we are mostly hit on the inflationary pressure for approximately 1% when we look at the gross margin.
Peter Sehested: Cool. Actually, my second question was actually pertaining to the various components that are driving sales. But cover that, I guess, I would just focus on that part, the change to the transition and the mechanism surrounding the insurance part. I mean, I guess, that is some -- I guess, nonregistered products are probably 20% of the German market as well as we can figure right now. If that is a trend that continues, then they should be potential for substantial upside over the next coming years. So a bit more flavor on that. And also, initially, just a comment on this particular issue. Are you generally more positive about the potential to capture additional share in Germany with respect to this? And over what course of time line are we talking about here? So a little bit more flavor on that for modeling purposes.
Peter Halling: Thanks, Peter. I'll try to answer. So as Claus also stated earlier on, obviously, the move we are seeing from a regulatory standpoint in Germany, where you see the insurance companies and others are now able to basically deny claims on unregistered products is beneficial to ALK. The list of the 18 products that were mentioned, six of those 18 are ALK products, three SCIT and three tablet products, which is also positive. On top of it, we are hoping -- even though the market is different, we are hoping and expecting that the children indications will help us further expand our reach. All of this is obviously something that can help us build our position in the German market. We don't communicate local growth rates by country. But obviously, Germany is an important market for ALK. And with this, we also believe we are well positioned for future growth there. So I think, overall, that's the best answer we can provide at this stage. I don't know if you want to add or -- no? Good.
Peter Sehested: Just with respect to whether you are more optimistic right now. Or is it the same kind level of optimism in respect to this situation?
Peter Halling: It's a great question. We are as optimistic as we've been, and we continue to see this as a very important market for ALK.
Operator: And the next question comes from Sushila Hernandez with Van Lanschot Kempen.
Sushila Hernandez: And congrats on the progress this quarter. I may have missed this question before, but could you elaborate on the Jext growth that is lower than previously assumed? And what are these developments contributing to this? And do you expect these developments to change?
Peter Halling: All right. Claus?
Claus Steensen Solje: Yes. I think I heard you. Thank you so much for the question. Correctly, about the Jext development that we saw. It is correct. As you know that last year, especially in the last couple of quarters, we saw some challenges with our contract manufacturing that couldn't deliver the cartridges that we actually needed to produce the product and thereby sell it in the market. And thereby, we saw a decline in sales. We have earlier said that at around end of last year, we would see a normalization with that contract manufacturing. And then we can confirm that, that has continued to normalize. They are now delivering to us, as expected. There is a bit of a time gap into Q1. So it came maybe a bit later into Q1 than what we would have liked it to do. And thereby, Jext is slightly lower than our own expectations in Q1, but that is something that is normalizing. And they are now delivering as planned. So we should be on track with Jext for the next three quarters in this year.
Peter Halling: Yes. And then maybe just to add. You have to remember the comparison versus last year Q1 was high. Jext, at that time, supply was normalized. And secondly, the way it works with adrenaline pens is basically that they go into different types of actions and activities that we bid on and work on, and that's also a timing aspect there. So we see those fluctuations. But as Claus stated, bottom line for us is that the supply has normalized, and that puts us in a good position to really go out and sell Jext again.
Operator: [Operator Instructions] And the next question comes from Thomas Bowers with Danske Bank.
Thomas Bowers: A couple of questions from my side as well. So firstly, just on these DKK250 million cost savings, so quite a large number here. So I'm just wondering if you actually could give us a bit of color on which project or projects you're actually closing down here. And then a couple of questions on the tablets, EU tablet. So the price increase that you see, are these actually in line with the potential that you addressed -- starting to address last year? And is there potentially more to come here on further price increases or inflation-related increases? And then lastly, just again on the tablet growth in Europe. I also understand that there must be some sort of regional mix effect here. So can you maybe give us a bit of color on how much that has impacted? So given that you have higher prices in Germany, so is there anything that we should be aware of here also in terms of the so-called quality of the growth there?
Peter Halling: Thomas, let me start out by answering the part around the DKK250 million, and then Claus will answer the two latter. So just -- we cannot, at this stage, and we will not share the specific split on which projects and activities, et cetera. First and foremost, we need to get a final Board approval for the strategy update. And then we'll be able to communicate on the Capital Markets Day. But what I can do, Thomas, is I can break it down in the sense that half of the DKK250 million in terms of the savings there will come from employee and FTE-related costs. So that means that we will be postponing rehirings or closing new positions down. We will be taking attrition in. And then there will unfortunately also be implications for some employees on a global level. And in totality, we are talking around 120 positions, which will help us with approximately half of the DKK250 million. Then on top of it, we are looking for an additional DKK125 million. We've been able to clearly identify where we're going to find them. That will come from other types of optimizations. Projects that we believe are low-priority projects will be closed. There will be certain activities we are closing. And then we will be looking at our spend overall in the organization as well as on the pricing side, where we believe we have some opportunities. In the past, I gave you an example of us having 7,000 vendors, which is quite a lot, especially when you spend 90% with less than 1,000 of them. So there's opportunity there. And this was also what Claus alluded to earlier when he said that some of it will help us in '25. Obviously, that will take time. So I think that's the first part. And Claus, do you want to take the next two questions?
Claus Steensen Solje: Yes. And it was, of course, thank you so much, Thomas, very much. About the whole pricing part in Europe and how we see the different shift, first of all, yes, you are right that some of the value that we get out of the 28% that you are seeing. Just to remind, approximately half of that was the volume part and half of that is more of a pricing component, including the trading that you see in Europe. It is also correct that approximately 1/3 of that half of the value part, pricing part is actually, as you said, the mix. We are selling more products in high-priced markets this quarter than actually in the lower price market. So that is also helping us right now. Then you also asked about what about prices going forward, what can we see here. I think that we should -- with the prices that we have already seen here in Q1, of course, some of them -- to most of them will continue and give us somewhat of a full year effect, but we are not right now seeing further price increases in our EU tablet business as it stands. Did I answer your question?
Thomas Bowers: Okay. That's very helpful. That's great.
Operator: And we have a follow-up question with Peter Sehested with ABG.
Peter Sehested: And it actually also pertains to the DKK250 million in savings. With this, you actually signal strong financial discipline and a willingness to sort of go a long way to secure and get funds. DKK250 million is a lot of money. In the grand scheme of things and with the -- what they all suggest that you are -- you'll spend heavily in the business going forward. And while it's pretty -- a large sum for you in the grand scheme of things, thinking about marketing children, developing the pipeline, business development, as you know, this is actually a very small amount. So my question is, this signal -- or with this signal, can we -- or the stock market rule out that you at some point in the near or midterm future will ask the market for money to finance your growth and you sort of are being able to back up, that you are actually acting responsibly financially through this kind of saving programs?
Peter Halling: Thanks, Peter. That was both questions and statements, I believe, but I'll just start by making it absolutely clear. We will not go out and ask the market for money. The SEK 250 million is enabling us, in addition to the growth we are seeing, in addition to the improvements we are seeing already, to further invest in the Company. So I think that's great. So it's helping us on the bottom line, a bottom line, which is improving further. And it's going to allow us to spend additional money on some of these activities that we believe are going to move the Company and secure the Company going forward. So while I recognize for a lot of other companies, funding additional SEK 250 million may not be a lot, but for ALK, it's substantial. And you have to add that to what we normally do. So I think that's positive. Claus, you want to add?
Claus Steensen Solje: Yes, I just want to -- thanks, Peter, for the question also and then, of course, invite you to our Capital Markets Day that we have in the beginning of June, where we are going to, of course, discuss and present the long-term financial targets, a bit on capital structure and capital allocation. We would like to give some guidance there also linked to your question about raising money in the market and so on. So if you join us there, then I can promise you, this is going to be a topic that we would like to address and also to discuss with you and everybody that is there.
Operator: That does conclude the question-and-answer session. I would like to return the floor to management for any closing comments.
Per Plotnikof: Thank you very much, everyone, and for all the great questions. And before we end the call, in case you did not hear, we have a Capital Markets Day on the 4th of June, and we hope to see many of you there. You will find much more information about this Capital Markets Day on our website on the link that you have on this slide. This will be continuously updated as we move closer to the event. Until then, please do not hesitate to call us if you have additional questions. And with this, thank you very much for today. Have a great day and a great weekend when you get to it. Goodbye.